Operator: Good morning, everyone, and welcome to United States Steel Corporation's Second Quarter 2020 Earnings Conference Call and Webcast. As a reminder, today's call is being recorded. I will now hand the call over to Kevin Lewis, Vice President of Investor Relations and Corporate FPNA.
Kevin Lewis: Thank you, and good morning. We appreciate your continued interest in U. S. Steel and welcome you to our second quarter earnings call. On the call with me this morning will be U. S. Steel President and CEO, Dave Burritt; Senior Vice President and CFO, Christie Breves; and Senior Vice President, Chief Strategy and Development Officer, Rich Fruehauf.
David Burritt: Thank you, Kevin. Good morning, everyone and thank you for joining this morning's call and for your interest in U. S. Steel. I hope you and your families are staying healthy and safe. The past few months have certainly been trying but I'm thankful for the U.S. Steel team and the collective response of the organization to keep each other safe and healthy so that we can be well positioned to support our customers in the recovery. We don't take for granted the critical role we play in customers regional supply chain, and the important steel plays, especially U.S. Steel in all of our lives. I hope you hear today the optimism I have about the future, the encouraging signs we are seeing in our order book, and our longer term future as the only "best of both" steel company. Our results in the second quarter while not surprising given the impacts of COVID-19 are a reminder of why we need to change. Our industry is volatile and our "best of both" strategy will ultimately position us to make money in the trough Without giving up the upside, we have always benefited from in recovering and strengthening markets. The second quarter was clearly the trough. And we have to get better at making money when the market hits bottom. All the more reason for us to move faster to the future with our "best of both" strategy. We are responding to the recovery that is underway to support our customers and deliver for our stockholders. To get to our "best of both" future faster, we are focused on what we control, which means delivering on the commitments we have made. Of course, we've always committed to safety and we continue to make record improvements on safety. We made a commitment to reduce fixed costs, and we're delivering a year ahead of schedule run rate fixed cost reductions of $200 million.
Christie Breves: All right, thank you, Dave good morning, everyone. Thank you for joining us. I’ll begin on Slide 11. As expected, our second quarter performance was significantly impacted by the non-recurring costs associated with idling iron ore and steel making assets in the quarter to control inventory and manage costs in response to the impacts of COVID-19. These non-recurring operating inefficiencies in our flat roll segment, coupled with reduced shipments distorted our earnings in the second quarter. In Europe, market activity was weak throughout much of the quarter. We took advantage of the reduced demand environment, but going forward a 10-day hot strip mill outage into late May originally scheduled for the third quarter. Non recurring COVID-19-related government reliefs help to offset some of the commercial headwinds in the quarter. Market conditions have just recently begun to improve, but off a very low base. In tubular, our decision to consolidate production to our Fairfield facility helped mitigate a portion of the commercial headwinds compared to the first quarter. Based on today's rig count, and oil and natural gas prices, we would expect production to remain consolidated to Fairfield tubular. Despite a difficult quarter our second quarter performance was better than the guidance provided on June 17. Slide 12 provides more details on what Dave mentioned earlier regarding June shipments. In the second half of June, the pace of shipments increased by approximately 50% in our flat roll segment, while much of the economic restart was delayed throughout the second quarter, we believe the second half of June was a tipping point for order book as shipments have accelerated and have continued to improve into the third quarter. As demand increases, we currently expect our flat roll third quarter results to improve versus the second quarter, but still expect third quarter EBITDA to be negative. While market conditions are improving headwinds remain. We currently expect two U.S. blast furnaces that were idled in response to COVID-19 to remain temporary idle for the remainder of the year. As a result, we also expect our Keetac iron ore mine to remain indefinitely idle, and we continue to extend our coking times at Clairton to better manage inventory. While these actions make sense to balance production with demand, they inherently result and operational inefficiencies that will continue to impact our results in the third quarter. Additionally, the impact of lower steel selling prices will begin to flow through our third quarter results. Approximately 40% of our flat rolled shipments are fixed price contracts. The remaining portion will have varying degrees of exposure to index prices. In Europe, activity is improving but it remains gradual. We currently expect third quarter results for USSK to be similar to the second quarter. While the tubular market remains challenging, we believe the actions we've taken to consolidate our operations limits any further downside risk. We currently expect third quarter tubular results to be flat to slightly better than the second quarter. Before I hand it back to Dave, let me spend a moment reinforcing our commitment to cash and liquidity. In the second quarter, we've proactively fortified our balance sheet by adding an additional 1.4 billion of cash to our balance sheet. Slide 13 details our expectations for key liquidity drivers for the second half of the year, which are progressing as expected. As we said earlier, we currently believe the second quarter marks the trough for the year, as we expect EBITDA to improve throughout the second half of the year. We continue to evaluate next few cost improvement actions and are evaluating new opportunities, like integrating work from home into our work plans. For example, we are analyzing opportunities to reduce our lease costs across our footprint, including consolidated lease space at our headquarters location in Pittsburgh. Last quarter, we stated working capital would be a source of cash for the year as we work down slab work in process and finished goods inventories. In the second quarter, we saw $120 million release from working capital and expect an additional $20 million release in the second half. We are on track to meet our reduce capital spending target of $750 million for the year. We spent $173 million in CapEx in the second quarter, and expect the second half of the year to total approximately $300 million. We will continue to be prudent in how we execute our strategic capital spending into 2021 as we prioritize cash and liquidity. Cash interest in the second quarter totaled approximately $50 million. We expect the second half to total approximately $175 million including approximately $65 million associated with the senior secured notes issued in May. Additionally, we expect to receive the fifth remaining $60 million of cash from Stelco for their option payments by year end. Dave, back to you.
David Burritt: Thanks Christie. Let's turn to Slide 14. Before we begin Q&A, let me summarize the key takeaways from today's call. Our priorities remain unchanged. We are protecting lives and livelihoods, which means our top priorities are safety and environmental stewardship and cash and liquidity to ensure the resilience of the business. We are focused on maintaining ample liquidity in today's environment while continuing to advance our best of both strategy, including our top strategic priority to acquire the remaining 50.1% of Big River steel. Best of both remains our future, a future that will deliver for all of our stakeholders. We are doing everything we can to get to the future faster. Kevin, let's move to Q&A.
Kevin Lewis: Thank you, Dave. We ask that you each please limit yourself to one question and follow-up so that everyone has the opportunity to ask a question. Operator, can you please queue the line for questions?
Operator:  And we'll get to our first question on the line from the line of David Gagliano from BMO Capital Markets. Go ahead.
David Gagliano: I was wondering if you could just give us a little more insight obviously into, you gave us insight obviously to the demand side and the recovery that we're seeing and the justification for restarting the blast furnaces. On your side, there's obviously a number of blast furnaces restarting and in your slide Big River ramping up as well. There was a $40 per ton attempted price increase about two weeks ago? I'm wondering if you can just give us a sense as to your view on pricing in the near term given all the supply that's coming on. And how has that receptivity been for that attempted price increase? 
David Burritt: Well, thanks. It's good to hear your voice and hope you're doing well. As far as the price increase goes, I think it was July 21, when we put the price increase in place and while it's probably too early to determine the full acceptance, we do see some early successes based on some of the recent order status. As far as the marketing conditions and the demand, certainly North American flat roll segment is returning. The second quarter is the low. The third quarter book looks good. We expect things to improve, but we don't expect this quick recovery in the third quarter. It will be a bit episodic following probably the COVID-19 pandemic. Once we have a vaccine in place, we feel really good about the future and pivoting quickly to the future. We think it's incredibly bright longer term as we see an infrastructure build. We see the election being over, a lot of the divisiveness going away and we think there's a lot of money that's sitting on the sidelines wanting to go to work, and it's largely dependent on the success of how the world deals with the pandemic. But longer term got to say with our best of both strategy, we're cautiously bullish about the longer term and feel really good about finding our way through the short term into the future. And we'll turn on blast furnaces when the orders demand us to do that. And in fact, we are scheduled tomorrow to have a blast furnace number eight at Gary turned on. Kevin, you have some more color?
Kevin Lewis: Yes, I think the one thing that I want to build upon Dave, and the point you made is that, our decision to restart blast furnaces is not speculative. The demand we're seeing in our orderbook supports these restarts that are coming from, you know, fix contracts that we have in place with our customers and many of the end markets Dave, that you described. So, I wanted to make sure, you know, we emphasize that orders are in hand, the order book supports the melt that's coming back online and there's really nothing speculative about how our company has reacted to the return in demand from our customers.
David Gagliano: Okay, that's helpful. My follow up then, I'll just switch gears. Just in terms of the liquidity - improvement in liquidity, obviously it did come with increased leverage. And I'm wondering if you can just give us a sense as to what the view is with regards to optimal leverage metrics over time and how U.S. Steel plans to accomplish those metrics? Thanks.
David Burritt: First and foremost, let me reiterate it, we want to make sure that we're highly liquid during this difficult time and be willing and able to respond quickly. When things do recover, when we do think it ultimately will happen. So, this extra cash, this extra liquidity is certainly we believe a smart move to find our way through however long this lasts. So, Christie, maybe a little more color.
Christie Breves: Yes. I would just say, we did take on incremental debt to ensure that we can weather the COVID-19 downturn, but we're regularly pressure testing the business under various scenarios to make sure that we can handle the leverage that we have. And we're very comfortable with our current cash position. We very intentionally took on this additional liquidity, so that we could navigate the downturn, be ready to invest in the recovery. So, you know, we feel very comfortable. We currently at the end of the quarter, we had $2.7 billion of liquidity, which compares very favorably to our historical average of about $2.6 billion, and we even have small footprint now. So, we feel pretty comfortable about the amount of liquidity that we have.
Operator: Thank you very much. And we'll proceed with our next question on the line from the line of Seth Rosenthal from Exane BNP. Go ahead.
Seth Rosenthal: Thank you for taking my questions today. If I can start out please with Big River Steel please, can you please give us a little bit more color on recent earnings performance at Big River? We did see that earning from investees report in Q2 came a bit below recent trend. To what extent was that BRS versus other investments? And what's your view for profitability from that investment going into the second half of the year? I'll start there, please.
David Burritt: Well, I'll start and then I'll ask Rich Fruehauf to provide some additional information on this. And just to be clear to everybody, we can't say this off enough and loud enough. This is our top strategic priority. We want the EBITDA. We want their entrepreneurial spirit. We want to build the best with them. And we think this strategically is a really good thing for our company. They got a great team. They got autonomous work teams, and we're very impressed with what we've seen so far. As far as their EBITDA margins and the way they're running the business, we're pleased with where they are so far, and I think together, we can create something special. Rich, can you more specifically answer this question on maybe somewhat more about the infrared and the more current information?
Richard Fruehauf: Yes, sure. So, I mean, I think they've performed pretty well. They've run more or less at full capacity through the quarter, even in the downturn. And I would think one would be able to continue that. I think, as we've said before, their EBITDA margins were comparable in Q1 to an SDI or a new core. And there's no reason especially as Phase 2A gets wrapped up and you get that operating leverage, as Dave mentioned earlier, next year, of 3.3 million tones with a little over 600 employees, I think it's a, it’s just going to be an amazing business as they really start bringing that second line on.
David Burritt: Again, we're very excited about the possibilities with them as we move forward and we do have time. We have over three years to get this thing done and we're going to continue to work together and make sure that we leverage each other's capabilities for a better future.
Seth Rosenthal: Thank you. And if I can shift gear to separate question on the European business, please, can you just touch on your efforts to control costs during the second quarter depends on your use of state backed short time worker furlough schemes. For your operations, how significant were those cost saving measures and the government support? And over what time horizon would you expect that to potentially roll off looking into the second half of the year?
Kevin Lewis: Yes, this is Kevin. I would draw your attention to our first quarter over second quarter earnings bridge for the European segment. The other bar included in that analysis is largely reflective of the COVID-19 relief that we received. So, that should help you put into context kind of the size of that benefit in the quarter. We're optimistic that that support will continue as we look forward but we're certainly more focused on what we can control within our European business and that business has performed exceptionally well in getting after costs, driving labor efficiencies, and offsetting any volume efficiencies that business has experienced. So, I would say, the COVID-19 relief, you should see that in the numbers, but I think more importantly, the way that business has been run throughout this downturn has been remarkable and we will continue our focus on controlling costs.
David Burritt: I think that's a really good point, Kevin, the leadership team over there as well as the employees, these are tough times and obviously, this is business - European markets had entered recession and yet they continue to get the job done, working with each other, working with the customers and working with the local governments and the European government to make sure that we have a successful business. It gets back to our top priorities, protecting the lives and livelihoods. These are tough times all the way around but they understand cost control and they understand how to run a mill. And frankly, we strongly believe that this is the best mill in Eastern Europe.
Operator: Thank you very much. I will now proceed to our next question on the lines from the line of Chris Terry with Deutsche Bank. Go right ahead with the question.
Chris Terry: Hi Dave and Christie. I just wanted to talk a little bit more about Big River, I appreciate you've got the three years to exercise as an option. This one if you could help us see a little bit more on the timing of that though I know that you've got the option, but it's, markets changing, you change the liquidity during the quarter. You know, what's your thought process there heading into I guess, 2021 with the high production at Big River?
David Burritt: Yes, well, thanks and thanks for the question. I'm sure that question is on a lot of people's minds in terms of what's going to happen and when we're going to pull the trigger. It's certainly something that we discuss very frequently and, and look at various scenarios in order to do that. But just let me restate, we have, like 3.25 years left to exercise that call option. We're in the midst of a pandemic. We're also trying to understand more deeply the business, learn with Big River Steel. And so, at an appropriate time, when it makes sense, we'll pull the trigger.  We have our hands full today. And that could change tomorrow. All depends on how well we find our way into the future with COVID-19, the pandemic and what's happening with our customers. We want to be incredibly responsive to our customers and make sure that again, our first priority is lives and livelihoods and staying liquid.
Chris Terry: Thanks Dave. And just as a follow-up going through your other operations. How do we think of about Granite City, it obviously was restarted around the time of Section 232 being implemented. I think the key in markets there, construction containers, predominantly I think if I've got that right. Is it really around, is it the location or is it the end market specifically around there that have sort of meant that that one has stayed online while some of your other services came offline during the last quarter or so?
David Burritt: Well, of course so it were, this is Dave. We're focused on the customer. So, when the customer markets are down, that's when you end up having to turn down a blast furnaces, as far as Granite City goes, that's, you know, responsive to the energy market, which is largely dried up but the packaging market is very robust and going very well. So, Granite City as long as it has customers to serve and continues to perform at good levels, we’ll continue to keep that open. It's going to be customer driven, customer focused, as it always is.
Operator: Thank you very much. We’ll get to our next question on the line from Matthew Fields with Bank of America. Go ahead.
Matthew Fields: I just wanted to ask about cash and then another one about capital structure. So in the offering memo and the sort of bond process for the secureds, you mentioned that your cash needs for the last three quarters of the year, were going to be $700 million. You burned $400 million in the second quarter through that kind of implicitly guide to a negative 300 cash flow for the back half, is that still the case?
Christie Breves: Our cash usage forecast, we did put out some hundred million as our cash forecast cash usage for the Q2 through to Q4 and we are still on track for that. So working capital was a source in the second quarter, and it will be a source of about $250 million in the second half of the year. And we are looking for opportunities to generate incremental release of working capital, but right now we're pretty sure of the 250. As far as CapEx, first half CapEx was $450 million, which is 60% of annual budget of $750 million. We do not expect that to continue in that same rate. So we expect the quarterly cap acts for the remainder of the year to trend lower and to meet that annual budget of $750 million. As far as interest we expect cash interest to total about $275 million in 2020, $175 million of that will be spent in the second half and that does include $65 million associated with the senior secured notes, which was not a part of that $700 million forecast, we did exclude that from that $700 million forecast. As far as EBITDA we know adjusted EBITDA in the second quarter was the trough and so adjusted EBITDA should improve through the second half. So most of those are the primary components of that $700 million cash usage forecast as I said, we're on track to meet that. A couple of other factors that will figure into our cash, we have the Stelco deal, which is $100 million cash Q2 to Q4. And we also have repaid $100 million on our ABL in the second quarter, and that also was not a part of the 300 million number.
Matthew Fields: So the $300 million of free cash flow previously adding another 65 of cash flow and from the new secured notes, the 365 and then working backwards with all those discrete items, you get the EBITDA of about negative 200 for the back half give or take, right?
David Burritt: We won't comment on our EBITDA projections for the full year, but hopefully the clarity we've given around some of the moving pieces that influence cash usage should help you directionally size the expectations for the remainder of the year.
Richard Fruehauf: We're looking at cash every day here and I know you're asking a modeling question I'm sure Kevin on yet yes n on a call, but we look at cash and daily, the fixed costs the way to manage working capital. We're also monetizing the mines. We also have real estate assets that we're monetizing. We're having some processes and also we feel comfortable with where we are on cash.
Matthew Fields: And then my follow-up I have a follow-up to Dave's question earlier in the call about sort of optimal capital structure post Big River. So you're in the high $5 billion debt now, you're going to have to fund an equity purchase of Big River for $700 million plus and then consolidate Big River’s debt on to your balance sheet. So that gets you I don’t know $7 billion plus of total debt. I mean, what’s your number one strategic priority? How do you think about the capital structure to accommodate that strategic priority?
David Burritt: Well, I think the key issue here as well, it's our top strategic priority, we have time to address this. And we're going to address it at the appropriate time. Obviously, in the midst of a pandemic it's a big challenge. But you've seen our balance sheet, you've seen our liquidity depending upon the pandemic and how all things play out. We could go sooner or we could wait till 3.25 years from now to get it done. So that's one of the things that we'll work through over time and certainly we'll have enough cash to get this done as our top priority.
Richard Fruehauf: Now the only thing I would add to Dave's comments there is you talked about consolidating the debt and you know the financing to ultimately purchase the remaining 50.1.But I think the one thing we always need to be mindful of is the EBITDA contribution and the cash flow generation we expect this business to have. I mean, that is why it is our number one strategic priority, the EBITDA margin profile, the free cash flow generation, the mini mill is something we must have in our business. So, while we're going to take on some incremental leverage to make that happen. We believe our business will be much better positioned with Big River as a part of U.S. Steel to have the right capital structure in place and generate value for shareholders and have a credit rating kind of accretive business model to work from. So we understand the capital requirements to get this done, but we're really excited about the EBITDA performance and the cash flow generation that is to come.
Operator: Thank you very much. We'll get to our next question on the line it is from the line of Andreas Bokkenheuser from UBS. Go ahead with your question.
Andreas Bokkenheuser: Just one question from me on Slide 13, you always have that great slide we kind of show what’s operational and what’s idled in terms of capacity. And definitely idle just operationally how we should think about this. You obviously have you know, blast furnace forward Gary and blast furnace is Granite City just idles. And that looks to be something that you guys could kind of pull the trigger on and bring back online, when demand dictate it. How should we think about Great Lakes so that's definitely idled operationally. Is that is that operational being called idled now at this point in time or you still keeping that warm, so to speak?
David Burritt: You want to take go ahead Kevin.
Kevin Lewis: Yes, sure Andreas, I'm happy to provide some color there on the kind of the operating footprint. So let me let me touch on a few things first, our decision to return blast furnaces to service. As we mentioned earlier in today's call, you know very much a reflection of the strength of the order book and bringing the mill back online at the Mon Valley and Gary to support the strength of the automotive order book as well as the appliance and construction order book. So demand driven, order book driven and not speculative in anyway. I think if we look forward we would like to see continued strength in the order book around some of our key end markets as we make decisions about the future operating footprint. But I would think for now the order book we have in hand and the continuing strength we're seeing we're comfortable with kind of the three blast furnace configuration at Gary one at Granite City and two at the Mon Valley within the flat roll segment. As it relates to Great Lakes, we made that decision, preCOVID-19. We talked about some of the strategic logic behind making that decision around focusing on mills that are cost and capability driven. And at this point in time the visibility we have into the Great Lakes steelmaking assets, just don't necessarily meet that criteria. So taking a bit more of a longer term view on Great Lakes, but remain very flexible to return idled furnaces in the U.S. the Granite City and Gary as well as in Europe are back online to support customer demand. I will say the Great Lakes works finishing lines are extremely important to how we serve the automotive market and continue to run to support customers. And that's how we lease in the near term, what we envision from that facility.
David Burritt: I think the key point here is, its customer base, customer will decide where we take this business, the stronger the customer need, the more we're going to be responding to them and that means we'll be turning things on. If things go badly then we have to turn them off, but its customer focused always.
Andreas Bokkenheuser: Yes that's very clear on the demand side. I guess just one follow-up because I remember back when you kind of took down Granite City in around 2015. They were obviously some costs associated with that and then there was some costs associated with kind of keeping it down and then restarting it again? Is that kind of similar to how we should think about Great Lakes that effectively there'll be some, some costs associated with bringing them down as they are now and then keeping them down until you bring them back up. Is that the similarity - to how we have to think about it?
David Burritt: Yes, so let's maybe compare, contrast kind of what we call, a bank blast furnace versus more than a definitely idled blast furnace. A bank blast furnace like we had in response to COVID-19. You should think about that as a couple million dollars a month in order to keep that furnished in a flexible state in order to respond to increased customer demand. We saw a lot of that, impact our second quarter results given the furnaces we had offline in the second quarter. If more indefinite you can remove some of those frictional costs. Obviously take out some of the fixed costs that are associated with that part of the steel production process. You have some frictional costs like Great Lakes that we identified earlier on in previous quarters. But the recurring costs associated with an indefinite or far less than it would be in a more of an indefinite bank state.
Operator: Thank you very much. And we're going to our next question on the line from Timna Tanners with Bank of America. Go ahead.
Timna Tanners: I wanted to ask a little bit if you take a step back and we're talking about strategic priorities of Big River and also in the past of course, we talked a lot about asset revitalization and the need to invest in your existing assets to bring the cost of those down. So I know you're just looking at Slide 13, but you go one before that you have Slide 12, where you talk about kind of your projects and your existing portfolio. Can you remind us like, how important those are and how long they can be delayed for and what's the total amount that we should be contemplating on the requirement here for these investments.
David Burritt: Yes, so Timna I think if you look on that page you'll see the four strategic investments - a capital investments that we believe are cornerstones of the best of both strategy related to the EAF. We plan to have that project completed here in the fourth quarter of 2020. A little bit of CapEx probably remaining on that project, we anticipate about $150 million in the full-year of 2020. We probably spent about half of that so far throughout the first half of the year. So another half to go. I will remind you that was pre-funded with environmental revenue bonds, so you'll see kind of a pool from restricted cash as we spend on the EAF to offset that CapEx. When it comes to the project at the Mon Valley, Endless Casting and Rolling extremely important project to our best of both future especially when you think about in the context of being invested at the Mon Valley which is our low cost liquid steel producer. We think that will ultimately give the Mon Valley a differentiated cost position as well as differentiated capabilities to serve highly attractive strategic markets like automotive. That's going to be at least $1.5 billion investment temporarily, kind of pause construction on that, but still remain extremely optimistic about the value that project will deliver longer term. There are permitting delays associated with COVID-19 for analysts casting and rolling, which is driven some of the timing around executing that project. If you think about the Gary Hot Strip Mill, another facility that's extremely important to our future, differentiated capabilities to serve margins that quite frankly that mini mills can't currently serve given their technical capabilities. So we continue to invest in that Hot Strip Mill to build upon the strategic advantage we have. We're being prudent in how we allocate capital of that asset right now given the COVID-19 environment, but over the next few years, we'll certainly look to make additional investments to build on a competitive advantage we have at Gary. And then in Dynamo Line at USSK has been paused and we'll get back to that as market conditions improve. But hopefully that provides you with some context, as well as reemphasizes the strategic importance of all of these projects to our "best of both" future.
Timna Tanners: And then just as my follow-up I know, Christie mentioned in her discussion back to Slide 13, that the two furnaces Gary and Granite City I believe, would expect to be remained offline for the rest of the year. So just kind of wondering if you could elaborate on what conditions would need to be met in order to restart those I know Gary generally more automotive I don't know if every single furnace is automotive and Granite City, I thought was energy and construction and container as we just heard, so do we need to see those markets improve a bit from here or have the better visibility or could you just give us some more details?
Kevin Lewis: Yes, sure. I would just emphasize a few points have been made earlier, which is the order book tells us and our customers tell us when we should return production to back online. And so we would need to see continued strengthening of the order book and a lot of the strategic markets you talked about. And since we don't just speculate and brings facilities back online without having the order book in hand, we would need to see the customer orders to bring those furnaces back online. So we remain flexible, open for business, and we're ready to respond very quickly to continue to strengthen in the order book, but for now, this is the configuration we need to support the order book.
Christie Breves: Yes, Kevin, one thing I'd add to that is one of those furnaces is banked, so it can be brought back quickly if needed. So you know, it will be in response to the order book.
Operator: Thanks very much. We'll get our next question on the lines from the line of Karl Blunden with Goldman Sachs. Go ahead with your question.
Karl Blunden: Just had on the current asset base and then one on non-core asset sale. Just with the current asset base and taking some offline for a while and now ramping back, of course with orders to support your customers, we've heard some noise I would say mostly from the mini mills about accelerated share gains, kind of accelerating that longer term trend. Just be interested in your thoughts on that, maybe it's in some ways in line with the types of markets you want to target that are better margin longer term. So what you're losing at lower margin, but try to understand the implications here for your longer term earnings potential.
David Burritt: That's a really good question. Thanks for highlighting that because that highlights kind of the ''best of both'' strategy in terms of where we're taking this business. And yes, we are winning in the strategic markets where we have the capability differentiation especially in advanced high strength steel. And so our strategy is focused on differentiation as the basis of capability and cost those two things. If we can build the best capability, obviously, we have the best business and certainly, and the advanced high strength steel, the XG3, the work that we're doing to serve not just the automotive, but expanding into other areas where our steel has a competitive advantage is where we want to play. At the low end of the markets, no doubt about it, the mini mills and in the trough of the business, if they make it they're going to take it which tells us we can't get to the future fast enough, because with Big River Steel we’ll make money in the trough. And of course with integrated mills we outperform in the peak so together we should be able to construct a model here in the next couple of years that puts us in a position to outperform. We believe that our ''best of both'' strategy will ultimately create a powerful combination of highly capable, low cost differentiated steel solutions where frankly we're excited about it.
Operator: Thank you very much. I will now turn the call back over to U.S. Steel CEO for any closing remarks.
David Burritt: Thanks everyone for your interest in U.S. Steel, and a special thank you to our employees. Thank you for staying safe, and staying focused on delivering for our customers. These are uncertain times, but I'm excited and confident about our future. Now let's get back to work safely.
Operator: Thank you very much. And that does conclude the conference call for today. We thank you for your participation. Please disconnect your lines. Have a good day, everyone.